Dominik Richter: Good morning, ladies and gentlemen. Welcome to our third quarter 2022 earnings presentation. In today's call, we will cover our most recent quarterly results, share an update on how we navigate and respond to the current macroeconomic environment, and will give you the opportunity to ask questions in our Q&A section towards the end. In times like these, we really benefit from the great learning opportunities that such a well-diversified portfolio across the globe offers. As of today, with HelloFresh, we operate seven different brands under the umbrella of the HelloFresh Group spread across 18 geographies on four different companies. This allows us to go after a very diverse customer group and audiences, and provides us with a good degree of resilience which very few other companies have at that scale. Similarly, year-to-date, our top line growth has been driven by a healthy mix of new customer additions, continued high order rates and strong basket size increases. Both our new verticals, RTE with the brand Youfoodz and Factor and our HelloFresh market have now started to meaningfully contribute to our revenues too. And if you remember, two years ago, we only started both of those new verticals. At the same time, we have exercised very strong cost control across operations and supply chain. We've pushed back hard on some of the inflationary pressures that we've seen while fully modernizing our fulfillment networks, which if you remember, we're still unsustainably overstretched at the beginning of the year. All in all, a very intense year so far, but one in which the quality of the work and of the organization have evolved very significantly. Let me start with briefly reviewing the highlights of the third quarter. We've seen continued strong revenue growth of about 18% on a constant currency basis to €1.86 billion. We've also seen a sequential reacceleration of our active customer base year-on-year to about 7.5 million. We've seen further increases in our average order value to about €64, a 12% year-on-year increase on a constant currency basis. We've also seen a solid contribution margin of 24.5%, up 2 points year-on-year despite inflationary headwinds and in our seasonally weakest quarter, where we have some operating deleverage. That resulted in about €72 million of adjusted AEBITDA, a margin of 3.9% which was impacted by our marketing spend of about 17.9% which was driven on the one hand side by seasonality, on the other side by a shift to Factor which has higher AOVs, but also higher CACs. We continue to maintain a very strong balance sheet with over €600 million of cash at the end of September 2022. And what I'm most proud of, we've made a lot of improvements to our customer proposition, namely to menu expansion, relative affordability and the rollout of our HelloFresh Market, which is also what I wanted to double-click on next. How are we thinking about providing more value to our consumers in the current environment? For those of you who have been following us longer, you will have seen that we have always been focused on improving the customer value proposition strongly over time. That's really important not only to attract new segments and new audiences to HelloFresh, but also to better monetize and provide better value to the existing customer base that we have. During COVID, two things happened in 2020 and 2021. We very quickly penetrated a higher share of the TAM that we're going after. So we've pulled forward a little bit of demand. And at the same time, we were operating under severe capacity constraints and could not expand and innovate fast enough. Now that we're increasingly coming out of that huge network transformation that we've started last year, we have a great -- much greater ability to innovate, and that's really our #1 focus for the time being. When we talk about innovation, what customers really want from HelloFresh is to find exactly the meals that they enjoy and that fit their lifestyle, week in, week out. As we have grown in popularity, our customer base has become more diverse, and is looking for different types of food options. In order to satisfy as many taste profiles as possible, we've worked hard starting mid last year to really increase the size of our menus again. That means the selection that we offer to our customers. In the U.S., as an example, we have increased many sizes in the three years between 2019 and 2021 by about 25% over that three-year span, and now by another 18% this year alone. In International, we actually started from a lower base in 2019 but then also increased menu size by over 70% from 2019 to 2021, and we're adding another 22% this year alone. That means more choice for consumers, more culinary innovation, and has proven to measurably increase our order rates, as well as the basket sizes from our existing customer base. And we have done so to a great degree while all keeping prices stable for a long time, and this year increasing a lot less than overall grocery, thereby giving a lot more value for money to the customer. Secondly, after a successful pilot in Benelux, we've rolled out our HelloFresh market offering in the U.S. late last year. In 2022, we focused on two dimensions to date, increasing customer uptake and making the HelloFresh market available to more of our customer base. I think we've made good progress on customer uptake, which increased about 30% year-on-year, primarily driven through improving our product offering, our pricing and our navigation. On expansion, we focused on scaling our HelloFresh Market to more of our U.S. fulfillment network footprint earlier in H1 before launching in Australia, New Zealand and Canada in Q3 and most recently, just a few weeks ago, also in Germany with more rollouts scheduled for the next six months. As we roll out this offering into larger parts of our customer base, we expect AOV to further increase in line with what we have seen for our pilot markets. On top of that, we have a healthy product improvement roadmap in place, which should further provide AOV upside as those improvements come through over the next few quarters. Finally, aside from selection and the opportunity to shop more products at HelloFresh, price is also a very big contributor to the customer value proposition. While we have increased prices for the first time in many years across our portfolio earlier in 2022, we've done so at a much lower rate than overall grocery inflation. The chart that you can see on that page here shows the year-over-year food CPI increases for a number of our mature markets. As of August, food CPI has increased between 10% and 15% year-over-year in markets like the U.S., Canada, Germany or the U.K. We have increased our own prices to consumers by on average around 6% to 7%, making meal kits more affordable than any other food alternative at the same quality level. We also hear this directly from our customers, where the percentage of customers who agree or strongly agree with the statement, HelloFresh is good value for money, has increased by 3 percentage points year-over-year in our standardized customer service. To summarize, we're providing significantly more choice to our consumers, both for meal kits, ready meals and additional products sold via HelloFresh Market. At the same time, we're continuing to strengthen our relative affordability against direct and indirect competitors, all of that self-funded by driving operational excellence and cost control throughout our supply chain and operations. With that in mind, let's talk about our Q3 numbers in detail. First off, we managed to reaccelerate customer growth to 8.2% year-over-year to 7.51 million customers in Q3. That is a sequential reacceleration and up from 4% year-over-year growth in Q2. Unlike Q2, when we suffered from a very early start to summer and heightened travel activity in Europe, our International segment saw a strong back-to-school season, resulting in customer growth of about 11% year-on-year, a lot of that towards the end of the third quarter. Our U.S. side of the business saw a lot less pronounced vacationing and volatility in late Q2, early Q3 but also less of a bounce back during the back-to-school season. And we saw the best ROIs for our Factor brand, which we then funneled most investments to and saw relative best performance. As discussed before, we expect active customers in Q4 to grow lower to mid-single digits again year-on-year. On the margin, Q4 customers always depend a little bit on the timing and success of our Black Friday, Cyber Monday and holiday seasonal campaigns, but we look cautiously optimistic into the next quarter. The flip side of less pronounced seasonality in the U.S. during Q3 led to higher order rates from our existing customer base, clipping about 4.1 orders in the seasonally weakest quarter, a record for Q3. International order rates came in at 3.64 as a result of more meaningful pausing activity, especially in July and August and a higher share of new customers in the back-to-school season. Taken together, the order rates in our seasonally weakest quarter remained elevated and strongly ahead of pre-pandemic times at roughly 3.9 orders per customer. As a reminder, pre-COVID, historically, we've seen about 3.5 orders per customer in Q3. Next, let's take a look at average order value, one of the key growth drivers in 2022. AOV is up about 12% year-on-year in constant currency, resulting in record AOV. A little more than half of this is driven by our price increases that we have executed across the portfolio. The other half is driven by the many improvements to the customer experience we've made and been investing in. Customers are choosing to take larger order sizes as we continue to expand the menu. Customers are also increasingly ordering from our HelloFresh market, which, as I noted before, we've rolled out to a larger part of our customer base now. In addition, and specifically for the U.S., Factor has been growing faster than our meal kit brands, and hence, there's some mix shift towards higher AOV and also higher CACs as this is a higher priced product. All in all, revenue reached €1.86 billion, up from €1.42 billion a year ago. Decent customer growth during a challenging macroeconomic period, continued high order rates from our existing customer base and record AOV have led to that solid 18% year-over-year revenue growth in Q3. In euro-denominated currency, it's up over 31%. Obviously, FX effects play a big role here. In the U.S. alone, we've seen 24% year-over-year growth in constant currency, driven by strong AOV gains and the acceleration of the ready-to-eat business factor. In international, we experienced a somewhat more measured 10% year-over-year growth. We're already towards the end of Q2 and then early Q3, we saw a lot of heightened travel activity. but then with a strong bounce back towards the end of August and all through September, which puts us in a good spot going forward. With that in mind, I'll hand over to our CFO, Christian, who will focus on the developments of the cost and profitability side of the business.
Christian Gartner: Okay, great. Thank you, Dominik. So I would like to first discuss the development of our procurement expenses. We continue to do very well in mitigating the impact of food price inflation. We have maintained procurement expenses as a percentage of revenue stable year-on-year at 34.6%. And we've done so without automatically pressing on one-for-one those inflationary trends to our customers, i.e., we have further increased relative affordability of our product as Dominik had shown earlier. Now how did we do this? Firstly, through selected price increases, but again, typically well below what consumers are confronted with in supermarkets, in restaurants, and when they do take away. Secondly, we leveraged the strength of our well-diversified direct supplier relationships. We are an important and trusted partner to our suppliers, and we have several alternative suppliers per SKU. This ensures that the burden of higher cost is shared equally between us and our suppliers. And then thirdly, most importantly, given not all ingredients for the same degree of inflationary trends, we can use the strength of our data models to on the 1 hand, offer great recipes to our customers, but which on the other hand, include ingredients, which are less subject to price inflation. Okay, next, let's talk about our fulfillment expenses. This should be one of the highlights of today's call. On the fulfillment side, we managed to very substantially improve our cost position by 2.1 percentage points of revenue, circa 43% last year to 41% in Q3 this year. We did this primarily by increasing productivity across our fulfillment centers, which meaningfully reduced our unit production expenses despite the only higher wages. Changes in other cost line items within fulfillment, i.e., mainly shipping and packaging expenses largely offset each other. This means for our contribution margin that we expanded it successfully by 2 percentage points to 24.5% despite inflationary headwinds on substantially each single major cost item. Given the strong continued growth in revenue, we grew absolute contribution profit in Q3 by a whopping 43%. So to summarize, down to contribution profit on all the levers that we control, we are well on track with the implementation of margin expansion measures and even quite a bit ahead of what the market expected from us at this point in time. Next, I would like to discuss our marketing activities. Marketing as a percentage of revenue is up by 3 percentage points versus the same period last year. A large part of this higher level of marketing as a percentage of revenue is due to 3 factors: one, seasonality as we typically invest meaningfully into our back-to-school campaigns in September; secondly, when we discussed that in the past, the fact that the comparative period was still influenced by meaningful COVID tailwind; and then thirdly, the ramp-up of new or recently launched geographies and brands in international and of Factor in the U.S. However, we've also seen higher sequential CACs in our U.S. segment. driven by two things: one, solid customer acquisition activity at our ready-to-eat brand Factor, which achieves a higher-than-average AOV, but also a somewhat higher CAC; and then secondly, a sequential increase in CACs at our core HelloFresh meal kit brand in the U.S. This means when you take all of that together, we are circa 0.5 point to a point higher on relative marketing expenses in Q3 than what we had originally targeted. With that, let's discuss our AEBITDA. We generated an AEBITDA of €72 million in Q3, in line with market expectations and slightly down on the same period last year. This is the result of us achieving a better-than-expected contribution margin, but also influenced by somewhat higher marketing expenses and the fact that G&A is now running at 5.5% of revenue versus 4% in Q3 last year. Let's also have a quick look how this AEBITDA development breaks down across our segments. Our U.S. business has meaningfully increased both on absolute AEBITDA and on AEBITDA margin year-on-year despite the higher CAC development we just discussed. Our international AEBITDA has decreased by circa €20 million year-on-year in Q3, partly driven by the launch and ramp-up of new markets and brands. Those contributed approximately €60 million negative AEBITDA to our International segment in Q3. With that, I'd also like to briefly touch upon our cash flows in Q3. In Q3, we continued our strong investment into our business with €123 million cash outflow from investments. Now despite this strong investment into growth, we maintained our cash position at above €600 million at the end of the quarter. On top of that, just as a reminder, we continue to have access to largely untapped €400 million revolving credit facility. Lastly, let me conclude with our outlook, as you know. We maintain our outlook at our previous guidance. Within this range, based on a somewhat restrained new customer acquisition activity since the summer, we are trending currently to land the full year within the lower half of the range on both constant currency revenue growth, and absolute AEBITDA. This is also largely in line with consensus expectations that we see on our company. So this would imply indicatively for Q4 active customers year-on-year to grow low to mid-single digits year-on-year in Q4. Constant currency revenue growth in the lower teens, and adjusted AEBITDA of somewhere €140 million to €175 million in Q4. So with that, we're looking forward to your questions.
Operator: [Operator Instructions] We will take the first question from Miriam Josiah from Morgan Stanley.
Miriam Josiah: Just on the marketing costs. So it looks like your customer acquisition costs in international have gone up. And I guess, you did mention some of the newer markets. But could you just talk about what you're seeing in terms of this environment? Are you finding it more challenging to acquire customers, and perhaps you're willing to spend a bit more on that, given you're getting good leverage elsewhere? So if you could just talk a bit about what you're seeing in the international markets and just how you're thinking about deploying marketing costs in this environment. And then also perhaps if you could give a bit of color of where you are actually spending that marketing cost in your international business.
Dominik Richter: Let me take that question. I think there's a couple of things going on. So first of all, obviously, Q3 always is like a bit more volatility. You see web traffic that was already in Q2 and early Q3 made very, very low because you had record traveling all over Europe. I think that's something where in the early parts of Q3, we haven't seen good efficiency. We've then also pulled back, I think, towards the end of July and early August, and then sort of like double down towards late August and September. So I think this was one effect of timing over that period that was really sort of like very, very low web traffic when then it's obviously hard to deploy advertising dollars. And then we had -- wanted to make up for that towards the end of that season where we've actually seen pretty good results. So I think in September and back-to-school season, we were very happy with. What we also have in International is the launch of a couple of earlier markets. In some of those earlier markets, we need to work hard to find product market fit, and we don't always have the same efficiency level as in some of our more mature markets. So that's probably the second effect in International. Overall, I think we continue to be very diversified in how we do marketing. I don't think we are super dependent on any one platform. We're very well diversified. And in terms of -- in times of low web traffic, you've also done sort of like a lot more direct mail and other things as well, which we have ramped up to levels that we hadn't done in a couple of previous quarters. That's high level the picture for International I think the biggest story here is really June to early August where all of Europe was traveling and web traffic very, very low, and hence quite inefficient to deploy advertising dollars.
Miriam Josiah: That's helpful. And just quickly, I mean, do you have any sort of sense of where you expect marketing costs to trend for Q4 on the group level?
Christian Gartner: Yes, so largely at round about 60% thereabouts.
Operator: The next question comes from Fabienne Caron from Kepler Cheuvreux.
Fabienne Caron: Just to follow up on the marketing questions. Christian, could you give us a feel in the U.S., what was the underlying CAC increase excluding Factor? Because you say Factor impacted but as well marketing costs on an underlying basis was higher. So could you give us a feel of the underlying CAC increase, excluding Factor in the U.S. in Q3, please?
Christian Gartner: Fabienne, so sequentially, like-for-like CAC increase at our core brand in the U.S., so Q3 versus Q2 is round about 10% in that area. And obviously, with a little bit of short-term volatility as Dominik had alluded to, but ballpark that was the sequential movement.
Fabienne Caron: And you expect the same going forward in Q4?
Christian Gartner: We expect a similar level in Q4, yes.
Operator: The next question comes from Victoria Petrova from Credit Suisse.
Victoria Petrova: Regarding the U.S. if I understand it correctly, your back-to-school campaign started around Labor Day, 5th of September. Do you expect additional impact in October, basically in the fourth quarter, or do you think that there will be no sort of clear seasonal uptick within your expectations of Q4? And my second maybe main question is around your full year guidance. You mentioned marketing expenses. Does it suggest that for 4Q, you expect similar gross profit margin and similar season -- I mean, seasonal factors, obviously supporting the profitability to bring it to €140 million to €175 million adjusted AEBITDA?
Dominik Richter: On your first question, Victoria, I think -- I mean, what we have in the U.S. coming up now is Thanksgiving then Black Friday, Cyber Monday. So that's a very intense period. I think we're sort of like in preparation of that period right now, which is always like one of the most important periods for U.S. e-commerce in general in the U.S. So that's definitely something where you see seasonality again, not more than in other years or let's see if more or not more. But that's sort of like the big one in Q4. I think generally, what's really important to understand is we've increased AOV so much we can tolerate somewhat higher customer acquisition costs than we expect to have somewhat higher customer -- somewhat higher customer acquisition costs. If kind of like we have much higher AOV. In the end, we always want to optimize for CLV to CAC, where obviously CAC is an important part, but so is AOV and order rate, and so we always need to look at the things in combination.
Christian Gartner: And Victoria, on your second question, so Q4 contribution margin outlook. So we plan that this is sequentially going up, it's our normal seasonality. So we will have tailwind from that. And then all those productivity measures, which are in full swing, which have generated really strong successes as you see in our numbers to date already, we will continue to contributing to that. So ballpark that we take contribution margin in Q4 to 26% or thereabout. That's what we would choose for, so quite an uplift to Q3.
Victoria Petrova: And it's probably sustainable given your investments in fulfillment.
Christian Gartner: Yes, it's sustainable with normal seasonality layout when we think about next year, yes.
Operator: The next question comes from Andrew Gwynn from BNP Paribas Exane.
Andrew Gwynn: We don't have a CMD this year, so any thoughts for 2023? Can the business grow? And are you still happy with the 2025 guidance?
Christian Gartner: So on the 2025 guidance, I was still happy with it, so yes. The CMD is taking place in towards the end of March, if I hadn't reached out to all of you yet. That should be in your inbox relatively shortly. So please reserve that date. In terms of formal outlook for next year, we will give that in concurrent with our full year numbers as when we come out early March with our full year numbers.
Andrew Gwynn: Sorry, any early thoughts in 2023? Can the business grow in 2023?
Christian Gartner: Yes, but on formal guidance and more detailed guidance let's wait for full year numbers.
Operator: The next question comes from Adrien de Saint Hilaire from BofA.
Adrien de Saint Hilaire: So two questions, please. First of all, I'm trying to reconcile the fact that your marketing spending as a percentage of revenue is overshooting your expectations, but at the same time, you expect the customer growth to be lower in Q4 than it was in Q3. So can you clarify again why that would be the case? And then secondly, I know you're building enough capacity to serve about $10 billion plus of revenue. If for any reason, we assume that because of weaker consumer demand or else, that level is not reached, what sort of flexibility do you have in terms of rolling back capacity? And what will be the impact on contribution margin and AEBITDA margin, if ever we don't get there?
Dominik Richter: Let me take the first question on relationship between customer growth and marketing. I would say it's probably two things. So number one, right, as we have discussed, so marketing, especially in Q3, there was some volatility, very low web traffic, et cetera. So temporarily like higher marketing costs. I think we'll probably see about the same level of that marketing cost in Q4. This is partly down to macro because consumers obviously sort of like not as happy to kind of let them try out new things, et cetera, as they potentially were, let's say, during COVID when they stayed home and had nothing else to do. I think that's very clear. So macro is one factor. And the other thing we've obviously increased prices also. And with prices, you always have some elasticity on your customer acquisition cost. Again in our -- in all of our models, in all of our calculations, that's the right level where we're at. So the marketing expenses that we have at the moment or the customer acquisition costs that we have at the moment, we can very much tolerate and continue to generate great profitability with customers because we have elevated order rates. We have higher AOV and basket sizes, we get customers to attach additional products into their baskets when they're exposed to HelloFresh Market. So it's always important to look at customer profitability from all angles, not just on the cost side, but also on the profitability side. And the two taken together are at very healthy levels in my view.
Christian Gartner: And Adrien, on your question on CapEx. So when you think about our CapEx, it really falls down into three buckets, I would say. So the first one is stuff that we have to do in any event because we are capacity constrained in certain areas. In that bucket, foot fall basically our expansion CapEx for Factor, our big facility in Arizona that we're building up for that, for advanced investments into our Youfoodz ready-to-eat business in Australia. And then also, for example, things like building up an expanded fulfillment center in the Nordics region. So all of that we have to do, otherwise, we cannot grow anymore in these areas. So this is positive in substantially a broad variety of macro assumptions, both from a revenue, as well as from a contribution margin perspective. Second bucket is where we effectively are in a situation in certain markets where an old lease comes to an end. And it is more economical for us to replace that with a new, more modern, automated and higher capacity fulfillment center. That type of spend also makes sense across a variety of assumptions in terms of overall macro environment. So even if macro were to be softer for a couple of quarters, this is overall beneficial to contribution margin. And the third bucket is effectively additional new build here depending on how macro develops and where individual projects stand in their execution. We certainly have a certain flex to shift or we consider certain projects that we do as part of our business as usual. Does that make sense?
Operator: The next question comes from Clement Genelot from Bryan Garnier & Co.
Clement Genelot: Just one from my side. Can you come back on the selected price increase is already implemented year-to-date? And the real price elasticity you have observed both on order frequency and on the churn rate, please?
Dominik Richter: So we've executed price increases across the portfolio over the course of the first half of the year. We were earliest in the U.S. where we executed our price increases in late December, early January. We then gradually rolled out price increases to our International markets over the course of the first half of the year. I think since Q3, most of the price increases have been executed. They're still rolling fully into the customer base, but I think we're pretty much done with them right now. On elasticities, there are certainly always elasticities. I think very early on in the year, there were very few elasticities. Generally, elasticities are lower when overall inflationary environment is high. So that's why it's the right time to then do price increases. It's usually -- and that's the learning that we've had from earlier years that we have always seen like very good elasticity if we were lowering prices. I can't give you the exact details on all of our price elasticities for competitive reasons. But overall, I think we always are very careful in implementing our pricing strategies, and we're looking at both short-term and long-term impacts not only on things like the AOV and our contribution margin but also what does it do to customer acquisition cost? What does it do to reactivation or reengagement activities that we have actually live. So it's a team. There's nothing else, and they are looking at elasticities from all angles to find the right level of overhead. I think all within that framework that we want to strengthen our relative affordability and become gradually more affordable to customers.
Operator: The next question comes from Emily Johnson from Barclays.
Emily Johnson: I had a question on fulfillment costs. So you posted an impressive 2 points improvement year-on-year. Can you just remind us of that bridge and the moving parts within your fulfillment cost? How should we think about the headwinds and tailwinds on each part of those cost lines into Q4 and beyond? Because I know at the start of this year, you had always guided to fulfillment cost improving as some of the new centers came online, and you've got more capacity going through them. But against that, clearly, we've seen more inflationary pressure on energy costs, potentially wages as well. So interested in a bit more color on moving parts there, please.
Christian Gartner: Okay, super, it's Christian here. So on our fulfillment expenses, the 1 key area where you have seen from us continuous improvement throughout the year and that will continue to carry through into Q4 and then into next year is really the production side, where we meaningfully increase our productivity and therefore, lower our unit production costs despite a number of wage increases we had to take towards the end of last year in that part of the business. That's the core driver of that year-on-year 2-point improvement on the fulfillment side that you've seen from us. When you look at the other key cost line items within fulfillment, logistics is definitely up year-on-year. Higher fuel surcharges also partly feeding through to us the fact that our logistic partners had to increase wages for their drivers at some point towards the end of -- towards the end of last year. Same on packaging year-on-year on a like-for-like basis, also certain inflationary trends. So these are the 3 big buckets. Certainly in terms of pure, let's say, wage and input cost, there's inflationary pressure on all 3 of them. But we are able to more than offset that through basically decent increases on the productivity side. And that's going to carry through into Q4. And then you will see some more of that coming as we go into next year that sequential improvements I discussed before, to Victoria's question of roundabout say, 1.5 to 2 points on the contribution margin. That is a combination of further productivity increases, but then also from a seasonal perspective, as we go into Q4. And as temperatures go down, we need less packaging, less isolation, which also helps in expansion of that contribution margin into Q4.
Emily Johnson: Sorry, just to size that, is the way to think about the bridge that it's something like in the ballpark of, say, a 3-point improvement on productivity, but a 1 point drag from the other inflationary pressures, or what's the sizing of those two headwinds versus tailwinds?
Christian Gartner: Yes, ballpark in our numbers, that's perfectly clear.
Operator: The next question comes from Sarah Simon from Berenberg.
Sarah Simon: Yes, you've called out Factor as kind of a driver of AOVs and CACs and so on. Can you give us a bit more color on, a, how big is it now and how fast it's been growing. And I think you said you were going to launch Factor into another geography or ready-to-eat in another geography this year, and I'm wondering if you've done that yet.
Dominik Richter: For Factor, definitely very successful at the moment. We think it's also a product that fits well with the consumers, both working from home, but then also kind of like bringing that to the office, et cetera. So I think it's really sort of like a great product for the time that we're living in. We're doubling the business or we're more than doubling the business from the base that we started at the beginning of the year over the course of this year. So it's definitely very meaningful. We're expanding into new facilities that will allow us to continue to scale Factor. And we also are in the process of launching Factor in Canada right now. And we have just finished our migration to kind of like for Youfoodz and the other ready-to-eat business to our own sort of like tech stack and migrated them, integrated Youfoodz into that business. So I think Factor in the U.S., Factor in Canada and Youfoodz in Australia will continue to be great growth contributors to our overall growth goals in 2023.
Sarah Simon: Dominik, I think can you just confirm, I think you said that Factor got to about $300 million of revenue by the end of last year, so you're saying that will be about $600 million this year.
Dominik Richter: That's about right.
Operator: The next question comes from Nizla Naizer from Deutsche Bank.
Nizla Naizer : My question is on your sort of the customer cohort behavior. Could you give us some color as to how your older customer cohorts are now behaving in this environment? Are they ordering more frequently because they see the value proposition that you bring in that you might raise prices as much as food inflation, or is sort of their behavior still the same? How does that compare to the new customers that you are acquiring? Some color there would be great. And just a follow-up on the Factor question from before as well. At one point, you mentioned that you might add ready-to-eat meals to the HelloFresh app. Or is that something you're still planning to do? Or would you consider keeping Factor separate for now and consider that sometime in the future? Some color there would be great.
Dominik Richter: Nizla, on customer cohort behavior, especially those who have been with us for longer, I think it's remarkably stable and predictable, how our long-term cohorts behave. We do see that, for example, our most loyal customers are also the ones who show the highest uptake and the biggest basket sizes in HelloFresh Market, who are most likely to actually add an additional meal to their basket, to their order, which I think intuitively makes sense. So while customer retention kind of like is very, very stable and predictable, we hope to basically better monetize those customer cohorts over time if we give them access to HelloFresh Market, if we give them access to a broader menu so that we can actually generate more revenue with them than in the absence of those products. But that's really the biggest focus for our older customer cohorts, how can we make sure that we can generate more revenue by providing them better value and also then obviously clipping good profitability from that. On Factor, I think -- sorry, what was the question on Factor? I just forgot it.
Nizla Naizer : It was that you would add ready-to-eat meals to the sort of the core HelloFresh app as an option, or would Factor always be sort of separate or at least for now?
Dominik Richter: Right, right. So I mean, two answers to that. So long term, let's say, over the next five to 10 years, I definitely think that as a customer, you should be in a position to seamlessly interact and choose how many meal kits, how many ready meals, how many products from our HelloFresh Market you actually want to get in one single delivery. But that's sort of like the five- to 10-year vision. For next year, we definitely have that on our road map. I think there's a couple of things such as launch of our new Factor facility that we needed to get in place, a couple of other things that we need to get right. But I think there's a good chance that starting at some point next year, we can expose Factor better to existing HelloFresh customers. And ideal case scenario also make Factor meals available to HelloFresh customers in the same order.
Operator: The next question comes from Thomas Maul from DZ Bank AG.
Thomas Maul: I get just one actually, with regard to the fourth quarter, do you expect the football World Cup in Qatar to have any substantial negative or positive impact on your business?
Dominik Richter: I don't think it has a big impact on our business. If I look at the last World Cups, I don't think we could see a noticeable uptick or downtick. I think probably the food delivery space or others are probably a little more sensitive to that than we are. I think in the past, we have not really seen that. We'll probably use some of it for promotional activities and drive some excitement to our menus, et cetera, but that's more sort of like business as usual rather than expecting any big uptick or any downturn from that.
Operator: The next question comes from Nick Coulter from Citi.
Nick Coulter: On procurement inflation in the U.S., I guess you're a little deeper into the supply chain than others. So are you seeing any signs of moderation in procurement inflation? And how do you expect it to trend going forward, please? And then a quick supplementary, if I may, on the central G&A cost, which looked elevated in the quarter.
Christian Gartner: Nick, on your first point on U.S. input price inflation on the ingredient side, it's too early to call that we see a sustainable moderation. So that may be the case, but I think it's a bit too early to call. On G&A...
Nick Coulter: But is it plateauing, is the question. Is it beginning -- are you saying PPI is starting to come down, or what's your sense?
Christian Gartner: It is slowing a little bit on certain SKUs, but certainly not some absolute price are not coming down. On your point on G&A, this is really, I would say, the result of us -- as we have discussed in the past, have invested on purpose, meaningfully in certain core teams. The biggest investment there is certainly our tech and data teams. And that's what you see reflected now in our G&A as well. And that's a core driver of G&A going from the 4.1% versus what was in Q3 last year to the 5.5%.
Nick Coulter: Okay, that's enabling cost that we should expect it to stick.
Christian Gartner: Correct. And that's a core driver of a lot of improvements. Some of the ones that Dominik had gone through at the beginning of the call in terms of choice proposition to the customer, but then a lot of stuff that you also don't directly see as a customer. So efficiencies in our fulfillment centers, for example, which are a core driver again to that margin improvement on the contribution margin side that we discussed earlier.
Operator: We'll now take the last question from Sebastian Patulea from Jefferies.
Sebastian Patulea: Out of the 2 percentage points of productivity achieved, how much of that is due to automation investments, please? And what percentage of your fulfillment centers are at the level of automation that you're happy with?
Christian Gartner: So on the -- on those 2 points net improvement, I would say the majority of that is still down to 2 things, but effectively further improvement of our processes across our fulfillment centers, also eliminating some of the, let's say, inefficiencies that have crept in during the COVID period into some of our production processes and also some, let's say, extra things we had to do back then, daily testing of our employees, social distancing and so forth. So by taking those out, we basically keep the benefit of that. And then of -- some of our automation projects, which are further down the road in terms of the implementation they start to show good results as well. But the vast majority of what you've seen so far in terms of that margin improvement release down to process improvement.
Sebastian Patulea: And what percentage of your fulfillment centers are at the level of automation that you're happy with, please?
Christian Gartner: Look, we're never completely happy. There's always an area where we can improve on the automation side I would say, no change to what we had discussed in the past. So there are a whole lot of process steps that we know we can get more efficiency through automation or same automation because we've proven that in certain of our fulfillment centers already. And then there is it's a next level of some more advanced automation where we're testing our way into.
Dominik Richter: It's an ongoing process. I don't think it ever finishes.
Operator: That will conclude today's question-and-answer session. I would now like to hand the call back over to Mr. Richter for closing remarks.
Dominik Richter: Thanks for attending the Q3 earnings call. I think as I tried to reiterate that at the beginning of the call, over the course of the year, we've been providing now significantly more choice for our consumers. We've very successfully rolled out ready meals in the U.S. and Australia. Canada is next. We've also seen good traction on HelloFresh markets, as indicated also in some of the AOV increases. And we're really strengthening our relative affordability against direct and indirect competition. I think overall, I feel that as a company, we're a much better company than we were 12 months ago. We've better talent in the company, I think better processes, better standards, but we're obviously not immune to anything that's happening in the macro. And so I think we'll focus on the things that we can control, such as productivity improvements, such as providing more choice to consumers, such as bringing in the right talent, running fulfillment centers and cost controls at the highest level of excellence as possible. And then I think we are well equipped to also have a very successful 2023, and well on track for our €10 billion with 10% AEBITDA margin by 2025. I think that's a goal that we have very clearly in sight, and we're very confident that we'll achieve that. Thank you, and bye-bye.